Operator: Greetings, and welcome to the Fastenal Company's 2021 Second Quarter Earnings Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Taylor Ranta of the Fastenal Company. Thank you. Please go ahead.
Taylor Ranta: Welcome to the Fastenal Company 2021 second quarter earnings conference call. This call will be hosted by Dan Florness, our President and Chief Executive Officer; and Holden Lewis, our Chief Financial Quarter. The call will last for up to one hour and will start with a general overview of our quarterly results and operations, with the remainder of the time being open for questions-and-answers. Today's conference call is the proprietary Fastenal presentation and is being recorded by Fastenal. No recording, reproduction, transmission or distribution of today's call is permitted without Fastenal's consent. This call is being audio-simulcast on the Internet via the Fastenal Investor Relations' homepage, investor.fastenal.com. A replay of the webcast will be available on the Web site until September 1, 2021 at Midnight Central Time. As a reminder, today's conference call may include statements regarding the company's future plans and prospects. These statements are based on our current expectations and we undertake no duty to update them. It is important to note that the company's actual results may differ materially from those anticipated. Factors that could cause actual results to differ from anticipated results are contained in the company's latest earnings release and periodic filings with the Securities and Exchange Commission, and we encourage you to review those factors carefully. I would now like to turn the call over to Mr. Dan Florness.
Dan Florness: Thanks, Taylor, and good morning everybody, and thank you for joining our second quarter earnings call. Similar to the last five quarters, I'm going to start with a few stats on our COVID experience. So, to-date, we've had 1,950 cases of COVID-19 among our employee base, so about 9.5% of our employees have contracted the virus over the last five quarters. Looking at it from a pattern standpoint, and as we discussed in previous quarters, our worst quarter was the fourth quarter of 2020, November of 2020 was our worst month, but in the fourth quarter, we averaged about 60 cases per week. In the first quarter of 2021, that dropped to 44. In the second quarter, that dropped to 20 cases per week. And I'm pleased to say in the month of June, we averaged eight cases per week, bit about 30 cases throughout the company. So, very good patterns, not unlike what we're seeing, generally speaking in society, especially in the countries in which the bulk of our employees are located. One of the things that that should jump out at a reader of our earnings release or in some of the commentary, one of the struggles that we're seeing that is not unique to Fastenal, I suspect most companies will cite this, is difficulty in the hiring, the addition of people, as we're reemerging from the shutdown economy of 2020 and the first part of 2021. And there's I think three distinct subsets that drive it, at least in our case. As you all know, historically, we're a promote from within culture, and we believe in starting early in a person's career in that promote from within culture, and we hire a lot of part time employees, and those part time employees, a very high percentage of those employees are part-time -- are full-time students. And we think of it as in most cases, in a perfect world, you're not hiring a part-time employee, you're hiring a future full-time employee. And we provide a tremendous amount of flexibility to folks early in their career. We focus very acutely on four-year state colleges, and two-year technical colleges. And so, in a period, where schools are closed and people are studying remotely, a big chunk of our recruiting base has vaporized from the areas that we traditionally approach. And that has created some challenges for us. I'm pleased to say those challenges have lessened over time, but they're still pretty acute. A fair number of our part-time employees, especially in our distribution centers, a lot of them -- we represent a second job, I heard of example the other day of individuals that had pulled back their hours with us, because they hold a second job, because they have a child in college. It's a great way to earn extra money. We're incredibly flexible with employees and on scheduling. But their employer has gone to mandatory overtime, and so they just don't have the hours to work for us. So, that's creating some challenges. The third, and this is more across when I think of generally speaking our branch and Onsite network, we're seeing some geographic biases in the numbers as far as country-by-country and state-by-state in the United States, depending on how open or close the society is, what impediments there are to hiring from the standpoint of public policy. We're seeing some patterns there. We're seeing no meaningful pattern from a racial perspective of hiring. The progress we've made over the last decade, we continue to see that throughout the business. Where we have seen a stark weakness, and I talked about this at our April Annual Meeting, is on the gender side. We've seen the application side of the business during 2020, and this has continued in 2021. Our female applications are down about a third from what we've seen in recent years. And we've seen worse than historical patterns as far as turnover in an environment where society is shut down, and a lot of schools and daycares closed, we've seen a dramatic impact. And that's fallen largely on the female portion of our employee base and our potential employee base, and we're making efforts to improve that, but they're difficult. But with that, I'll switch over to the Flipbook. Sales and manufacturing construction customers grew 21.5% in the second quarter. There was, as expected, a fall-off in the pandemic-related sales of -- frankly a good thing, and which resulted in overall flat sales performance from a year-over-year basis. I believe we continue to manage costs really well. I'm so impressed with the team throughout Fastenal and our ability to managing expenses well. We did have some resets, and Holden talked to that in the earnings release. Branch and Onsite, our incentive comp, there's a reset going on there, because a year ago, a lot of customers were idled or shut down. And a lot of our surge business was direct container shipments, oh, not container shipments; excuse me, direct pallet and truckload shipments. And so, it was a different cost structure. So, I'm pleased to say our brands and Onsite business is coming back in a resounding fashion. And we're paying people for that. We're also seeing an incredible reset in the healthcare, I believe healthcare expenses were up about 25% this quarter, and that's really a function of we're self-insured when it comes to healthcare. People weren't using it a year ago. They're using it now. So, we're seeing a reset there. Where we're seeing some partial resets are things like travel. Our airfare was about tenfold from second quarter 2020. The second quarter 2021 now before you read anything into that, that's meaningful. We're still 82% below where we were in 2019. We don't know ultimately where that that number settles on. The number I've challenged our team with is with some of the technology tools we have, and some cultural changes as far as working from a distance and communicating from a distance, I do believe that 30% to 40% reduction is an achievable number and time will tell us that, if I'm correct, or if I'm full of it. But I believe it's something that will be achievable right now we're about 80% down. Price actions to-date have largely matched cost increases. There's a ton of inflation going on. There's inflation, because of disruption in shipping, i.e., the cost of moving the container, and this is pretty public information, so, I don’t need to cite figures. But it's gotten really expensive to move a container across the ocean. And it takes a longer time than it did 12 and 18 and 24 months ago, because of all the congestion at the ports, and so, massive inflation going on. We've been largely able to move with that. The higher gross margin we experience is really about product mix. The fact that the organization is moving more products and more stuff going through our manufacturing, there's a utilization of the corporate overhead organizational efforts going on. And within the safety product category, there's a meaningful shift in customer mix. And when you're shipping truckloads of product versus pieces of product, the gross margin profile is different, and we're seeing that playing through in the numbers. The final point talks and I see the team put it in here a few times, the conversation, I think it's on both pages about our digital footprint, I guess they wanted to make sure Dan didn't screw up and miss it. But if you think about the digital footprint we're talking about, so about 42% of our sales are part of what we call our digital footprint, it starts with FMI. In FMI, there's a device component and there's a mobility component. The device component is our vending machines that we've talked about for the last decade. It also includes in growing importance over the last 12 to 15 months, our digitally enhanced, our technology enhanced bins where the bins telephone they're hungry, just like the vending machine tells us when it's hungry, it needs to be fed and so about 21% or so, 22% of our business is going through one of those devices. Another about 10% is going through what we call fast dock. And that's where the mobility that we've deployed, we're out there scanning bins. And that's really about a productivity play in the short term. But I believe an ability to grow faster in the long-term. And on Page 7, or excuse me, Page 4 in the earnings release, Holden has a great table in there that lays out the FMI pieces, the devices as well as the fast dock.  The third piece is looking at ECOM and that's growing quite dramatically and I'll touch on more of that in a second. But about 10% of that is outside the FMI world. So, you add those three pieces together, about 42% of our sales is now digitally connected and the vast majority of that is where it's FMI and the importance of FMI, the goal should be an easy way to order. The goal should be if it's recurring business, why the heck are you ordering it? And why don't you have a partner that supplies it when you need it. And that's what we endeavor to be a great supply chain partner for our customer. Flipping to page four of the book, pleased to say our Onsite signings ticked up again in the second quarter of '21. We had 87 signings that's our best quarter since COVID started and of equal importance, it's about participation. How many of our district business units are signing an Onsite? We had 30% of our district business units sign an Onsite. We haven't been north of 30%, since the first quarter of 2020. So not only are the numbers strong, it's broadly dispersed across our business. So there's great participation. We ended the quarter with 1,323 active sites just over 9% increase from second quarter last year, and our daily sales in the Onsite business grew just over 25%. So very, very strong performance there, and it's improving. And that builds upon our ability to engage with our customer and grow the business long-term. FMI, I touched on that yesterday -- excuse me, on the last slide, and I did touch on it yesterday with the board, that's a different matter. There's 5,843 devices, that's a weighted number signed in the second quarter, that's 91 per day, similar to Onsites of nice, improving strong performance. Our ending installed base was up just over 9% from June of last year. And if you look at it, and I'm going to flip to some points on that table on Page 4 of the earnings release. So sales through the devices are up 40.4%. Sales through FAST stock is up 148% and you combine the two together FMI grew 61.4% really excited about what we have going there as far as momentum. E-commerce 53% increase, large customer-oriented EDI was up 51%. That's about the economy. That's about strengthening of our existing customer base, and we're seeing it happen to play out right there. When I look at web sales being up 61%, that's about habits changing, that's about how our customers are engaging with us. So two dynamics going on both very positive, from the standpoint of how our customers engaging with us, and how is our underlying customer doing as far as business. I'm going to skip the digital footprint, since I covered that pretty thoroughly already. And flipping to page five, this is a new table, I believe to Holden plans to have it in here in this quarter, I suspect next quarter, maybe fourth quarter, but it's really doing a quick snapshot of understanding if we ignore the noise of COVID-19 for a second, and just say, "What did our business do in the second quarter of 2019? What did it do in the second quarter of 2021?" Some things to standout, our margin is down about 40 basis points in that period, and that's about the ship that we've talked about in prior quarters of our business to more of an Onsite, a higher proportion of our business being Onsite, or it's due to larger customer, larger transactions better expense leverage. And you see that expense leverage play out in the operating administrative expenses being down 140 basis points in that same time period. So, our operating income was up 100 basis points. Pleased to say we had great incremental margin, about 31% in that timeframe. And with that, and we generated good cash. With that I'll turn it over to Holden.
Holden Lewis: Great. Thanks, Dan. So, turning to slide six, as indicated, our sales were basically flat in the second quarter of 2021. I think everybody understands the dynamic supply here, about $350 million to $360 million in surge business from last year did not repeat. And that was offset by a significant rebound in demand from our traditional manufacturing construction customers, and to a lesser degree, new sales to customers that had never bought from Fastenal prior to the pandemic. Our Fastenal products grew 28.4%, and that represent the strength of our underlying business conditions. If we were to adjust out the impact of surge sales, we believe that safety and other products would have grown at a level that's comparable to our Fastenal growth. Manufacturing and particularly heavy manufacturing is exhibiting broad strength. And in the case of both manufacturing and non-residential construction, sequential quarterly growth in the period exceeded historical norms. Combined with access to customers that is approaching pre-pandemic levels as evidenced by our improved Onsite and FMI signings in the second quarter of 2021, our outlook remains positive. It's also worth highlighting that while government sales were down 63% in the second quarter of 2021, they were up 37% versus the second quarter of 2019. We had similar dynamics play out with certain large customers, we continue to believe that we gained market share during the pandemic. Now to slide seven, operating margin in the second quarter of 2021 was 21.1% up 20 basis points. Gross margin was 46.5% in the second quarter of 2021, up 200 basis points versus the second quarter of 2020. Our safety product margin improved in combination of mix, as lower margin COVID affected PPE mix retreated to pre-pandemic levels and recovery and pricing as the market is normalized. We leveraged overhead costs on an improvement in volumes and favorable rebates, which is a combination of lower rebates to certain customers that were heavy surge buyers in 2020, and our own purchasing of key products improving versus 2020. Product mix, specifically growth of fasteners versus non-fasteners was also a significant contributor to the growth, and was a significant factor in gross margin outperforming our expectations for the period. Our pricing actions largely matched inflation we are seeing in the marketplace then price costs did not meaningfully affect gross margin in the second quarter of 2021. The increase in gross margin was partly offset by operating expenses growing faster than sales. In the second quarter of 2020, in response to the onset of the pandemic, we took certain proactive steps to reduce costs, certain costs naturally declined as a result of the weak business and a large portion of our surge sales went direct as opposed to through our branches, which is a very low labor intensity source of revenue. In response to improving conditions in the second quarter of 2021, these situations reversed. Our headcount remains under control, but as appropriately ticking up as demand recovers at our branches. Further incentive compensation was up almost 20% and healthcare costs are up 25%. Travel expenses are growing strongly off very easy comparisons as the economy fully opens, fuel costs are rising sharply. As we indicated last quarter, de-leveraging operating expenses in the second quarter of 2021 is a function of anniversary in the first periods of pandemic related cost savings measures combined with a strongly recovering marketplace. Setting aside these optics; however, we believe the organization continues to manage costs well. If you put it all together, we reported second quarter of 2021 earnings per share of $0.42, which is flat versus $0.42 in the second quarter of 2020. Now turning to slide eight, operating cash flow was $172 million in the second quarter of 2021. This is down 32% annually and was 71.5% of net income. Now, recall that in the second quarter of 2020 pandemic related legislation allowed us to defer to tax payments into the third quarter of 2020 that deferral was not available to us in the second quarter of 2021, and we made those two payments as we historically have. The better way to think about cash generation is by considering that in the five years from 2015 to 2019. Our second quarter cash conversion averaged 63.5%. Against this, we were pleased with our cash generation in the second quarter. Year-over-year accounts receivable was up 3.1%. Those sales were flattish the shift away from PPE surge buyers last year and toward traditional buyers this year blended up our days outstanding. Inventory was down 5.3%, and there is a lot of moving pieces here. A part of this is due to the difficulty in getting sufficient imported products, although our hub inventory deficit has not widened meaningfully versus where it was in the first quarter of 2021, as we are finding domestic source as a product. However, the decrease also reflects deliberate efforts to clean out slow moving hub and branch inventory, branch closures, and the shifts that are stocking focus in the field. We believe these represent improvements in our working capital that will be sustained. Net capital spending in the second quarter of 2021 was $32 million, down from $38 million in the first quarter of 2020. This was largely from lower FMI hardware spend, which was a product of lower signings over the past 12 months and greater refurbishment of FMI equipment. Our 2021 net capital spending range is unchanged at $170 million to $200 million, and we're tracking in the lower half of this range at this time. We returned cash to shareholders in the quarter in the form of $161 million in dividends. And from a liquidity standpoint, we finished the second quarter with net debt at 2.5% of total capital, down from 6.4% in the year ago period at 5.1% versus the fourth quarter of 2020; essentially all of our revolver remains available for use. Now before moving to Q&A, I wanted to update a few subjects of current interest. First, we continue to experience significant cost inflation, particularly for steel, fuel, and transportation. In the second quarter of 2021, price contributed 80 to 110 basis points to growth. This largely tracked our increase in costs and the impact of price costs on margin was in material. Cost pressures remain high, however, which will require us to institute further material price actions in the period. The marketplace is still receptive the price actions, and the tools and processes we have developed have been effective even so given the rate of inflation, maintaining price cost parody will be a bigger challenge in the third quarter of 2020. Global supply chains remain tight. We have managed this well domestically, which has allowed our customer service levels remain high as a result of spot buys which do tend to carry a lower margin, and inventory in certain areas to build to meet projected future needs. Internationally, there continues to be a shortage of capacity, which has made moving products particularly fasteners increasingly costly and sustained long lead times. We believe this dynamic could persist its current level of intensity through 2021. Dan commented earlier on the labor shortages in most of our business, we have largely managed this to this point, however we are beginning to see those pressures be reflected in our labor costs, and the increase in Onsite signings and implementations could introduce some additional strains there. However, recognize a few things. First, this is all partly a byproduct of strong demand and happens to some degree with every cycle. Strong growth will allow leverage of other costs that will help us to mitigate these pressures. Second, much of what we're doing with our digital footprint, and the change in our branch model will address many of these matters. Third, none of these pressures are unique to Fastenal but we believe that our culture and our structure is uniquely geared to navigate them. We have seen no moderation in these pressures over the past three months, but we continue to believe that we'll gain share through them. That is all for our formal presentation. So, with that, Operator, we'll take questions.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Our first question is coming from David Manthey of Baird. Please go ahead.
David Manthey: Thank you. Good morning, guys.
Dan Florness: Good morning, David.
David Manthey: Dan, in the past, you've noted that $10 billion in revenues, you should have about 46% gross margin, and 20% plus Op margin, which is exactly how the business looks today at $6 billion in revenues. Is there any change to that formula based on how you see the complexion of the business playing out over the next $4 billion?
Dan Florness: You know I won't be surprised. As far as the residual number, which is ultimately the number that matters, that 20% plus, I see no change there, maybe a bias for increasing it, but time will tell on that one. I wouldn't be surprised, given what we saw in the last year, and some of the things we're doing as we get deeper and deeper with some of the larger customers and are looking at different types of business and options there, I wouldn't be surprised to see the 46, us drop below the 46. But in those discussions, I oftentimes cited the 46, 24, 22 was a number that that we aspired to. I think ultimately when you have a branch network, where the average branch is north of 200,000 a month versus 130,000 to 150,000 like it is today, and in Onsite network, that's a bigger percentage of the business, I feel comfortable saying that any gross margin that the mix pulls us below that 46 threshold also pulls us below the 24 threshold. And so, that plus 20 thought process of when we're a $10 billion organization, I feel as good about that today as anytime in the last five years.
Holden Lewis: The focus internally, Dave, is that, everybody who is involved in selling make sure that on every individual relationship, every individual transaction that they get the value that they deserve based on the value that we bring to the relationship. As long as we do that, whatever the mix does, because of our growth, the mix does, but as Dan indicated, there's been no change in our expectation that we're going to be at 20% to 22% operating margin business and a 25% plus return on capital business. There's no change in that.
David Manthey: Yes, sounds good. And second, how does the branch configuration relate to the Lift program, maybe I misunderstand here, are CFCs the new lifts? And do you expect to see some benefits in 2022 as you free up that selling energy that was formerly consumed by filling vending machines at the store level?
Dan Florness: Yes. Some things to keep in mind there, the Lift is still cutting a relatively small piece of our vending revenue, which is a piece of our overall revenue. I think right now we're at about 8%. I think that's where we ended the quarter, about 8% of our vending revenue is being touched by Lift. And if vending is little over 20% of our revenue, you can see it's a relatively small piece, it's touching. So, I don't want to overbuild what Lift is, in the short-term. We're really excited about it in the longer term. And so, that's one element. So, the CFC, so the fulfillment center type branch, so, we have two branch types. And I'm generally speaking talking about our U.S. business in this commentary, when we go outside the U.S., there's some nuance to it, but I won’t muddy the conversation with that. In the U.S., in the Metro areas, about 70% of our branches now are a fulfillment center. And all that means is we're not -- we might have limited hours that were -- that the front door is open, and part of this sprang out of COVID. We found that that wasn't horribly disruptive to our customer, because every customer has a cellphone, every customer has Internet access. So, saying to our customer, "Hey, call us when you come in," or "Order electronically, we'll have it ready for you. And the doors can be locked, when you get here, but we'll let you in," because most of our business is recurring customers business-to-business relationships. And that's just the way the branch operates. The front showroom has been contracted down, because that's redundant, contracted, and so, there's a small footprint you walk into if the front door is open, or you pick it up at a locker if the front door is closed, or you're calling we let you in. That's just a branch. Separate to that, that branch set up, and then the other 30% of the Metro areas would be the traditional service branch that that you've visited over the years. The only thing that changes when you get out to the Metros, the mix is a little bit different; it's about 60:40. But separate from the brands facility is this Lift, now the Lift might be adjacent to a distribution center, it might be completely independent of a distribution center. And that's just a very focused distribution center that's picking not a pallet of product for a branch delivery, it's picking a total product for a customer vending machine delivery. And it's removing that labor that's relatively inefficient at the branch, and putting it into a Lift, where it's much more efficient, we can bring some automation to it, we bring scale to it. And over time that will become a bigger and bigger piece of our vending business. And the real question is, can we do some of those same things for our FAST stock, because highly repetitive transactions, you can bring scale to those transactions for the branch network and be more efficient. Does that help?
David Manthey: It does. Thanks for the color, Dan.
Dan Florness: You bet.
Operator: Thank you. Our next question is coming from Ryan Merkel of William Blair. Please go ahead.
Ryan Merkel: Hey, guys. Thanks for taking the question.
Dan Florness: Good morning.
Ryan Merkel: Right, so I guess, first off, Holden, you mentioned bigger inflation in the second-half of '21 and then potentially some price cost issues, just given that the market is receptive to price, why is there worry on price cost timing?
Holden Lewis: Well, I would say it has as much to do with simply the rate of increases as much as anything else. You didn't see an uplift in price in Q1, and then it's kind of stayed there, right? You've continued to see those increases build and much as we saw during the period of tariffs and inflation, when you see a rapid rate of ascent that continues on for a period of time, it can be difficult to maintain the pace, particularly when you have a business like ours that where over half of it is national accounts and contract business. So, now much like in the prior period, do we think that that you catch up to this, absolutely. And I've always said that I feel like if you achieve price cost parity anytime within a quarter ahead to two quarters behind, that's kind of what the business supports. And I still believe that's true. But there's always timing involved when cost is trending. And that's the situation that we have today. We've gone to the marketplace for different purposes a couple times done at least one large increase earlier in the second quarter. And that was received fairly well but based on what cost is doing, we'll have to go to the market with some additional ones. To this point, we continue to hear from the field that that customers are still so busy and receiving it from so many areas, that it's not been a huge bone of contention. But there are timing issues around costs and around contracts that that we navigate every cycle, will navigate this one too.
Dan Florness: Just couple added tidbits I'll throw in there. One element Ryan is frankly fatigue, that sets in from the standpoint of I'm going back one more time. And that's an element, that doesn't mean you don't get it. But that makes it challenging in the short term. The other piece is the vast majority of what we're seeing, we don't view as transitionary. But there is a transitionary component, and that is with the congestion at the ports, we're doing fill-in buys and we estimate right now that the magnitude of fill-in buys that we do this year will be about five times what we see in a typical year, there's always issues that come up, there's a spike in demand, and we need to do a fill-in buy, there's an issue with production from a manufacturer or shipment that do fill-in buy. But the magnitude is so much bigger right now. And a piece of that is transitionary and that piece that you might not capture.
Ryan Merkel: Yes, okay, makes sense and not different than I expected actually. And then I just want to clarify the decision to remove counter labor at some of the branches having taken a lot of questions on this. So what are you giving up? What are you getting? And would you call this a tweak to the strategy? Or is this a major change?
Dan Florness: Part of it is, I don't know if we know the answer to that. Keep in mind that the incredible majority of our business is B2B and what we saw during COVID is a lot of habits changed. In your personal life, I suspect there's things you do today and how you procure items for your personal life that are different from what they were a year and a half ago. Well, that's true with our customer base, too. It's true at both the B2B and then a piece of it is, I don't know if I'd call it B2C, but maybe it's B2b where it's a local business that just buys doesn't even have an account. And we really encourage that customer, we can be a better partner for you and we can provide you a higher level of service by ordering electronically, and we'll have it ready for you. Part of the reason for we aren't necessarily removing some counter labor, part of it is it doesn't exist. So our business, our branch based business is up 20 some percent, our FTE at the branch is up less than 1%. And that isn't my choice. That's what's available. And so part of it is off to the COVID, part of it's legacy, because we don't have some of the staffing we want. Part of it, we do believe this is our model for the future. And we believe it's a better model.
Holden Lewis: What I'd probably add, Ryan is if you think about the amount of revenue that's being impacted here, I mean the cash business, just what is paid to us in actual dollars and cents credit card is about 2% of our revenue. I mean, it's not a huge number. If I think about those accounts, that are $250 a month or less that's 4% of our revenue, but it represents more than 80% of our active accounts. And so what we're essentially trying to time to think through is, how much labor are we putting into 80% of our accounts that represents 4% of our revenues? And when we think about the development of e-commerce, and you see in this quarter, our e-commerce, our web sales, e-commerce is up north of 60%. That wasn't entirely because of our conversations with the smaller customers about how we can service that model. But a part of it was certainly because of that. So we don't view it as walking away from a lot of revenues, we view it as aligning the best way to service different groups of customers within our branch in a way that in turn frees up time for our people to sell. So let's take the question earlier, we created a Lift program to free up time for our people to sell to customers that are really going to move the needle. The things that we're doing in the branch is really intended to be very much the same thing. And what I'll tell you is I'm not sure this model is a whole lot different from what we did 15 years ago. So, it's a bit of an evolution towards that if you will. So, you asked what we're giving up. This just seems like a refinement in the model to focus on key accounts that can really move the needle and free up a lot of time for talented salespeople to go after those accounts. And we think that makes us grow faster at one tidbit. And that is, I'm probably more sensitive to this change than most. I think I grew up on a farm in Wisconsin, and I think of my dad would be what I would have just described as a B2 small business. He basically had himself; he and my mom ran the farm. The kids helped, but they did the real lifting, but it was a small business. And I'm very conscious of -- we want to serve that customer too. And how do we figure out the best way to serve it? So when I see web feedback come in and I read every web feedback that comes in. I've called quite a few customers over the last year and a half. To understand some of the feedback's positive, some of it's negative, it's a rare conversation I don't come off it with the response from the customer saying, I didn't know you guys could do that. Hell, I'd rather buy from you that way. That's how I do a bunch of stuff in my personal life. I just didn't know. You guys did that, because I think as the hardware store in Rice Lake, Wisconsin, and so, I think the market wants us to do it.
Ryan Merkel: Yes, makes sense. All right, thanks. I'll pass it on.
Holden Lewis: Thanks.
Operator: Thank you. Our next question is coming from Josh Pokrzywinski of Morgan Stanley. Please go ahead.
Josh Pokrzywinski: Hi, good morning guys.
Dan Florness: Good morning.
Holden Lewis: Good morning.
Josh Pokrzywinski: Just to follow up on that last question in terms of the freed of time to sell the customers, Dan, how do you think about the priorities there? Is it Onsites or national accounts and more mid-sized customers, maybe all of the above, like what is that, you know, kind of new ideal customer that the sales force is freed up to go pursue. And is there some sort of seasoning period as they get to meet what our -- I would imagine our newer customers, or are they productive right away?
Dan Florness: The priority is very simple, have a plan. And that plan involves know who your larger opportunities are in the marketplace and make sure you're engaging with those customers, know who really understand the potential of your existing customers in the market and engage with that customer and then have a plan for everybody else. And that means when something is ordered electronically and it's a smaller customer serve the heck out of that customer, meet that customer where it works for both parties, and that means if somebody orders it, if it's in the branch, it's ready for them in a short window of time for them to come in and pick it up. If it's something that's not in the brand and some distribution center, we get it in the next morning. And it's in a locker at 7 o'clock in the morning, or it's ready for the customer to pick up in the branch at 7 o'clock in the morning. So, you're very mindful of what is your plan because the bulk of the dollar opportunity is coming from the larger opportunities in the market. That's just math, but you want a nice mix to your business, because it helps to be a great partner to a wide range of customers. And we can be a special business because we can fulfill transactions faster than our industry because of our local stocking and our captive distribution network. We have a better cost structure to our industry. We have a better fulfillment cycle to our industry, and it's incredibly reliable. And we have that local team that can react to the unexpected. And that's what froze up for so many companies in the second quarter of 2020. They don't have the decentralized something special local that can react to the unexpected.
Holden Lewis: And I think what you do with that time is it frees you up to spend more time in front of those key accounts where those large volume opportunities are, and what comes out of that is going to be determined by that conversation. And so do we think its more Onsite probably because we think Onsites to bring a tremendous amount of value. Is it more FMI probably because we think that brings a tremendous amount of value, but ultimately remember, Josh, our model is set up, so that we don't have one solution for a customer. We don't have one solution for each of the customer's plants. We have a different solution that's tailored to each plant for each customer. And when we're out having a conversation about how we can do that, when we have more time to have that conversation, we suspect more Onsites will come out of it. We suspect more digital footprint is going to come out of it, but ultimately it's about the conversation with the customer that gains us share as a supply chain partner.
Josh Pokrzywinski: Got it. That's helpful color around. And then just a follow up on Onsites, I know that, I saw that in the release the closings I guess in conversions together, kind of remain elevated here. Is that just a function of folks kind of reassessing post-COVID now that they're back out in the world, do you think that's more of a temporary phenomenon or is this just kind of the run rate they're on term for a while?
Holden Lewis: Well, since the level of how does it seem to have changed during COVID or after COVID. I guess I'd say that it's been a little sticky. If you've talked to the folks in Onsite, I think they would say the 27 and the quarters have been elevated. And I think that if we were at a piece of 80, I don't think that would surprise anybody. A pace of a hundred is probably a little bit more than you might've expected. Why that is. I'm not sure. Now each quarter, we again, we go through why we're seeing closings and what we take out of that is the large majority of those closings continue to either be a plant being shut and the volume going elsewhere, or going to a different geography or simply a decision on the part of somebody at Fastenal to say this isn't actually working out as an Onsite. We think we can service this just as well, if not better at a branch, and we're going to take it back there and do it that way. And that continues to be the vast majority of the closures that we see as opposed to those fewer cases where it's we've lost the business, which does happen, but it's the minority of those closures. So, in the case of the first, there is not much we can do about plants moving, right. In the case of the second, we're making a business decision and I can't tell you it's a bad decision. In the case of the third that happens, every now and again, you lose a piece of business, but for the most part, what we're not seeing is our competitive moat around Onsite to get the grade, and that's why we're seeing closings. We just haven't seen any indication of that. So that mix hasn't changed, and that answer hasn't changed and that's I guess where I'd leave it and we're as excited about Onsite as we'd been in the last decade.
Josh Pokrzywinski: Yes. Great, appreciate the color, guys.
Holden Lewis: Thanks.
Operator: Thank you. Our next question is coming from Nigel Coe of Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning, gents.
Dan Florness: Hey, good morning.
Nigel Coe: So, Dan, I think you mentioned last quarter, the outlook for pricing some of it in the normal range, I think you said 2% at the upper ends. Is that going to be enough to offset the inflation that you're referring to in the back half of the year? Do you need to go above that? Is that normal 2% range?
Dan Florness:
,:
Nigel Coe: Okay. Yes. You mentioned 3Q, Holden, and sometimes -- you know, you do give some color on gross margin mix, and I'm just -- given the moving pieces on inflation pricing, and also the pandemic mix is coming down as well, how do we think about that sequential build instead backup for the year on close margins?
Holden Lewis: Yes, I mean it's -- well, I guess we'll always argue over what we find to be unusual circumstances that we should guide for, I guess I'm not doing it the same way this time around. But I mean, I think if you think about the dynamics around gross margin, right? I mean the last couple of months we've seen costs of overseas transportation go up and that goes through our cost of goods, right. Obviously the cost of fuel not a big expense, but continues to go up. If you think about the fill-in buys that Dan referred to earlier, those are going to continue to be at a fairly high clip. If we think about price costs being a wild card, I don't think that our second quarter is going to be $46.5 million. I would not be surprised to see a taper off from that level. But where that goes as orders me, I'm sorry. When I say second, sorry, third quarter. Yes, I fully expect second quarter to be $46.5 million. I don't expect third quarter to be at that level, I think that there's just, forces in the marketplace that are going to work against that before you talk about price cost. And then, there's the wildcard about our level of achievement on price costs. And that it'll be clear, we have plans for pricing. We have systems for pricing. We're not writing off the idea of being neutral price costs. We're going to work very hard to maintain that. And I think there's a good chance we could be, I'm just saying that the pressures are going up, and we have to be respectful that.
Nigel Coe: Okay. Thanks a lot.
Operator: Thank you. Our next question is coming from Chris Snyder of UBS. Please go ahead.
Chris Snyder: Thank you. I wanted to follow-up on the earlier conversation on the Onsite closures. Like as you guys were saying, we've seen this 100ish run rate, really starting in '19 and carrying through today and 100 as per year, I mean. And with that the turn has gone higher to high single-digit from pre-2018. It was really in the low single-digit. I guess my question is, as you're scaling it, is it incrementally more challenging to find Onsite candidates that you have, high conviction aren't going to move are going to be suitable from a volume standpoint?
Dan Florness: Simple answer, no, it's not more challenging. There's ample opportunity out there. What is challenging is in the last 15, 16, 17 months of the proposition I'm talking to a customer moving in with them, when they want to be distanced from everybody on the planet. Imagine having an apartment, you bring in a roommate it's kind of the same concept. You just don't -- you don't want to be around people. And that's changing. And so seeing that expand, some things that, if you think about vending, which we've been doing now for 13 -- going on 13 years, when vending really took off for us, in that latter part of 2011, 2012 standpoint. In the following year, we were pulling out 25%, 28% of the devices that we would install, because some of them are just bad. And we didn't know what we didn't really know what we're doing yet, because we were creating an industry. And then that went to 22%. And then it went to 18%. And then as our participation and our knowledge base across the organization improved today 13 years later, we remove every year about 12% of our devices. We think we can get that to 10 with our list strategy, and some of the things we're doing to make it a little bit easier to serve FMI devices, but we think we can get that 10, but it's still 10%. The real question is what is that natural number for Onsite? And five years into a really hard push, unfortunately, a year plus of that five years is COVID. And so I don't know that we know what that number is. Now, we do know that about half of the Onsites that we close are because the customer moved the facility or closed down the facility. And the other half are, we pulled some back, we lose some visitors. So, there's a number of dynamics. There's some where we grow it from 30% to 60%. And we get stuck at 60%. And as Holden mentioned a few minutes ago, we've just moved back to the branch, because it's more efficient for everybody. Or the customer kicks us out, because they're out of room. And I don't like Onsite closers, but I know and I don't like FMI devices coming back, but I know it's part of the business, and the real question is, can we as an organization, over time, outgrow our industry can gain market share more efficiently, more productively, and we'd be redundant quicker than everybody else, so we can do that with Onsite and FMI devices and all the things we're doing. I love the business.
Holden Lewis: Yes. And I think the reason we look at it every quarter, why those closings happen, it's just so that we understand why. And when you think about that, typically I think people think about a closure as a loss of revenue and in the large -- in the majority of cases a closure of an Onsite is not a closure, it's not a loss of revenue, in fact, to the extent that there was some progress at the Onsite at the original inception we might be bringing more to the branch than less than initially. And so, when you think about the closure rate, think about cut it in half, because a bunch of the business, we're still maintaining. And then as Dan indicated, there's some historical precedent here with vending. We ran hard and fast to sort of get into the marketplace. We learned a lot. And as we learned a lot, we sort of cleaned up some things that maybe we did when we were -- when we're early on in the initiative, and then we were smarter and more efficient coming out of it. I think we're really following a very similar pattern here.
Chris Snyder: Appreciate all of that. And I guess, for following-up and trying to tie the Onsite conversation into your prepared remarks around hiring. I guess from the customer standpoint, whether it's social distancing in the factory, or them having trouble bringing in new employees. Has that impacted maybe your revenue per Onsite year-to-date? And as that all begins to come back, should we expect the revenues at Onsites to outpace growth over across the remainder of the business in the coming quarters?
Dan Florness: Yes, I'm not quite sure how to answer your question from the standpoint of if the social distancing in the plan means their production is down 20%, and we're supplying OEM parts, OEM fasteners, it would impact us 20% in that plant. If it's MRO it would impact us directionally.
Chris Snyder: But I guess the question is more on the safety side. So when we see the pictures of the vending machines, it seems like there's a lot of workforce consumables in that that are maybe more tied to how many people are in the plant, not necessarily the output from that plant?
Dan Florness: Yes, but they usually go hand-in-hand. But when it comes to vending the FMI devices for the vending machine over half the revenue there is PP&E. And that's directly related to how many human beings are in that plant, and for how many hours of the day. And so, if there's a smaller number of human beings, but they're spread out over multiple shifts, so the same amount of hours are being worked. I wouldn't expect safety to be impacted. It might be higher, because people are much more conscious about safety that today than about wearing a mask or wearing gloves or doing anything. People weren't better about washing their damn hands today than they were a year-and-a-half-ago. And so, to that extent, you might have fewer people and more consumption. Because everybody's saying, do this, do this, do this, and you're more conscious do it.
Chris Snyder: Appreciate that.
Dan Florness: But I don't really specific to Onsites either. I mean, if what your time as labor productivity in general, I mean that could be true broadly. But sector has gotten more productive over time. And we continue to drive safety revenues, because we continue to gain market share, we think that opportunities still there.
Chris Snyder: Thank you.
Dan Florness: I actually thought you were going a different place with the question. And I thought you were going to the place of, if it's really difficult to hire, does that help your ability to sign Onsites, because it's difficult for your customer to hire. I would say it sure doesn't hurt. And but it's difficult for us to hire for that too. It's just that -- it's a more efficient model. So the customer doesn't need to hire three people and maybe we need to hire one. And so it becomes an enhancer, but it's -- I don't know how you quantify that.
Chris Snyder: Interesting color. Thank you for that.
Dan Florness: All right.
Operator: Thank you. Our next question is coming from Hamzah Mazari of Jefferies. Please go ahead.
Ryan Gunning: Hey, guys, good morning. It's Ryan Gunning, actually filling in for Hamzah.
Dan Florness: Hi, good morning.
Ryan Gunning: Good morning. Could you talk about market share gains and how much you're kind of outperforming in terms of growth versus your end markets?
Dan Florness: Yes, I mean you have to make an adjustment, obviously for the pandemic and the search sales, which I've done. And if you compare our growth than anything I indicated fasteners grew 28%. And if you take out the pandemic would have been comparable across the business. I think if you compare that to what industrial production has done during the quarter, or to any of the industry surveys that are out there, I think that you would see that we outgrew them -- outgrew growth and both of those measures. So, we feel good about the continued market share gaining capabilities of the business.
Ryan Gunning: Got it. That's helpful. And then, could you talk about how you're thinking about freight going forward than just where maybe you are in terms of optimizing your fleet from a route perspective and other last mile delivery factors?
Dan Florness: Yes. I tell you what, I'm going to ask Holden to take that one offline, because we're right against the hour and I, we're pretty strict. We try to hold this to an hour because we realized we're on earnings season and the analyst community isn't on the call to jump on, or stop the review. So, we'll take that one offline. But thank you to everybody for participating in the call today and to the Fastenal team on the call. Thanks for what you did in the second quarter. Good luck on third.
Holden Lewis: Thank you.
Operator: Ladies and gentlemen, thank you for your participation and interest in Fastenal. This concludes today's event. You may disconnect your lines at this time and have a wonderful day.